Michael Weitz: Welcome to World Wrestling Entertainment's 2007 fourth quarter and full year earnings conference call. Joining me for today's discussion are Linda McMahon, our CEO, Michael Sileck, our COO, and Frank Serpe, our CFO. We issued our earnings release earlier this morning and will be referencing a presentation as part of our discussion. These are available on our corporate website at corporate.wwe.com. We will be making several forward-looking statements today as part of our discussion. These statements are based on management's estimates. Actual results may differ due to numerous factors which are referenced on Page 1 of the presentation and in our earnings release. Today we will review our financial results for the fourth quarter and 2007 and will follow this review with a Q&A session. At this time, I would like to turn the call over to Linda. 
Linda E. McMahon : Thanks, Michael, and thanks everyone for joining us on the call today. We completed our year with an outstanding financial performance in the fourth quarter. The quarter was highlighted by substantial growth in revenue and earnings, with increases coming from each our of business segments. This performance reflects in part the successful expansion of live events and consumer products in international markets. Our performance was especially strong in the U.K. and Australia, where we had very successful tours in the quarter and expanded our toy and apparel licensing. By capitalizing on opportunities outside the United States, we were able to generate a 25% increase in international revenue and profit. For the full year, our international business accounted for nearly 40% of our profit growth. These results underscore the potential of our international strategy. During the second half of the year we positioned the company to take even greater advantage of such opportunities by establishing a new international organization. This organization is currently focused on driving growth in Europe, Asia Pacific, and our emerging markets, China and Latin America. During the fourth quarter, in keeping with our international strategy, we opened offices in Sydney, Australia and Tokyo, Japan, in addition to our office in Shanghai, China, which opened in July. We strengthened our global television platform, launching distribution on a major national network in Brazil and renewing key agreements in Italy, Australia, Korea, Chile and Argentina. Based on the remarkable ratings success of our program in China, our current broadcast in both Guangdong and Jiangsu has been extended from one to two hours per week. By strengthening our distribution in new markets, we intend to attract new consumers for our products and to enhance our long-term potential. As we develop our audience around the world, we are also focused on the quality of our broadcasts. During this past year, we laid the groundwork for producing our television and pay-per-view programs in high definition, and initiated HD broadcasting in January of this year. WWE's investment in this cutting-edge technology enables us to maintain our high standard of production quality and to meet the evolving standards in the media entertainment industry. It also enables us to present our characters and in-ring drama with greater clarity, and as a result we believe it will heighten the experience of our fans. Before turning the call over to Mike, I would like to mention our announcement last week concerning SmackDown. After a successful decade of airing SmackDown on both UPN and the CW, World Wrestling Entertainment and the CW have agreed to conclude our partnership. Since the CW's exclusive negotiating period expired on January 31, 2008, we've been contacted by and have been in negotiations with other networks. WWE SmackDown will continue to air on the CW until the conclusion of the 2007-2008 broadcast season. We are confident that, given the strength of this brand, it will find a suitable home and continue to air beyond that period. Now I'll turn the call over to Mike, who will provide some additional perspective on our results and further update you on our strategic initiatives.
Michael Sileck: Thank you, Linda. I would like to start by sharing my perspective on the company's progress. For the quarter, we posted 23% top-line growth, reflecting increases from each of our business units. That growth resulted in record revenue of $485 million for the full year. Our record performance in a weakening economic environment demonstrates the strength of our business model. We believe the diversity and entertainment value of our product offerings reduces our exposure to declines in consumer spending. In 2007, we completed a comprehensive review of our businesses. Based on that review, we targeted average annual revenue growth of 10% and average annual earnings growth of 12% over the 2006 through 2011 period. The quarter marked important progress towards these financial objectives. As Linda described, we increased revenue and earnings from outside the U.S. We also improved our pay-per-view trends and made adjustments to strengthen our online advertising. We believe we have now stabilized our payperview buy rates after incurring a 12% decline in buys during the first half of the year. During the fourth quarter, our buy rates were essentially flat to the comparable events last year. We attribute this to an intensified focus on our storyline content. As a reminder, we have reduced the number of events in our 2008 schedule to 14, eliminating the January New Year's Revolution event. By concentrating on our creative and promotional efforts, we believe we can increase the level of our pay-per-view buys over time. During the past year we continued to advance our Digital Media initiatives, and in the fourth quarter saw continued growth from both the distribution of mobile content and online advertising. Regarding our mobile business, to date we have completed distribution agreements with AT&T Mobile, BSkyB and other carriers. As a result, we have created a cellular footprint that reaches well over 100 million potential customers around the world. Our online advertising increased throughout the year as we continued to attract new advertisers such as Colgate and, more recently, Yahoo to our site. During the fourth quarter, however, both our online advertising and ecommerce businesses were impacted by a 6% decline in unique visitors. To address this challenge, we are broadening and evolving our content. This is consistent with our ongoing practice of monitoring and responding to changes in online behavior. As a result, we expect to maintain WWE's position as the preeminent wrestling-related destination for our fans. Looking ahead, we are also targeting higher sales of premium advertising inventory. We expect to succeed in this area by packaging our Internet ad buys with promotions in other WWE products and with media assets of our key partners. Overall, we are excited by WWE's opportunities and the steps we are taking to ensure our progress. We have proven in 2007 that with prudent investment and proper execution we can grow revenue significantly. We look forward to continuing to execute our strategy in 2008 and beyond. For 2008, we expect our financial performance to be consistent with our long-term objectives, as previously stated. You should expect increased expenses associated with our international expansion and our implementation of high definition broadcasting. By managing the company for the long term and by paying an attractive dividend, we are determined to increase returns and create value for our shareholders. At this point I will turn the call over to Frank Serpe to review our financial performance for the quarter. Frank?
Frank Serpe : Thank you, Mike. Good morning, everyone. Revenue for the quarter was approximately $133 million, representing a 23% increase over the fourth quarter of last year. Our top-line growth reflects a solid performance by all of our business segments. Gross profit increased by 32%, reflecting the growth in revenue. Page 5 of our presentation lists revenue and profit contribution by business unit as compared to the prior year. Revenue from live events, including merchandise sales at these events, increased by $6.7 million or 23%, led by our international events, which benefited from a 90% increase in the average ticket price to over $83. Our North America events also contributed to revenue growth. Excluding the impact of our ECW event, North American events yielded a 12% year-over-year increase in average ticket price to nearly $41 and a 16% rise in the average attendance to 7,100 fans per event. Our Home Video business realized a 41% increase in revenue to nearly $20 million. During the quarter we released 12 new titles compared to 8 in the prior year quarter. As a result, new title releases shipped nearly 1.1 million units in the quarter compared to about half a million units in the prior year quarter. Releases in the quarter were led by titles featuring John Cena and Shawn Michaels, which shipped about 201,000 and 178,000 units respectively. For the full year, we released 31 new titles as compared to 30 in the prior year. Total shipments for the full year reached just over 4 million units, which was flat to the prior year. During the quarter, Home Video's profit margin increased to 57% from 44%, reflecting lower duplication costs and the impact of certain promotional sales programs in the prior year quarter. Our Licensing revenue increased by 49% to $3.1 million over the prior year quarter, led by strong sales of our toy, apparel and novelty products. The majority of this growth came from domestic sales of our action figures and Tshirts. International licensing of these products increased by more than 60% and accounted for $1.3 million of the year-over-year growth. Our Digital Media segment, comprised of online advertising, ecommerce, and mobile business, delivered combined revenue growth revenue growth of 8% compared to the year ago quarter. Growth in this segment was driven primarily by our mobile business and the impact of our agreement with AT&T Mobile. In addition, the quarter benefited from a 9% increase in online advertising as compared to the fourth quarter of last year. Revenues from our magazine publishing increased by $2.7 million or 82%, reflecting higher newsstand, subscription and advertising sales. In addition, we published one additional special in the quarter as compared to the prior year. As you may recall, in July of 2006 we combined our existing publications -- SmackDown and Roar -- into a single men's lifestyle magazine titled WWE Magazine. Since then, circulation has increased by more than 50% to 300,000 copies per issue. Turning to our Pay-Per-View business, revenues for the quarter increased 6% from the fourth quarter of last year. Revenue reflected a higher proportion of domestic buys, which generate higher revenue per buy than international buys. The domestic market represented 63% of total buys in the current quarter as compared to only 58% of total buys in the prior year quarter. During the quarter, WWE Films recognized $3.1 million, predominantly from the continued sales of See No Evil DVD in our domestic markets. Our WWE Films recorded breakeven results as revenue growth was offset by the amortization of capitalized film production costs and the write-off of certain development costs. Overall, profit contribution margin increased 42% to - I'm sorry, excuse me - increased to 42% compared to 39% in the fourth quarter of last year. Margin expansion was led by our Live Events, Home Video and Magazine Publishing businesses. For the fourth quarter, we reported operating income of $24.7 million, representing a year-over-year increase of 41%. SG&A expenses increased to $28.8 million compared to $22.3 million in the fourth quarter last year, primarily due to increased staff-related costs and legal and professional fees. In addition, the fourth quarter of last year reflected favorable adjustments in legal and professional fees and the recovery of a previously written-off bad debt. These two items totaled approximately $2.8 million. It should be noted that the effective tax rate in the current quarter was 23% as compared to 26% in the prior year. Page 14 of our presentation compares quarter-over-quarter results and provides a summary of changes by business. Turning to the full year, revenue grew 17%, reflecting increases from across our business. Operating income increased 4% to $68.4 million, and EBITDA increased 5%, to $77.8 million. These results reflect the growth in revenue, partially offset by increased SG&A costs. SG&A expenses increased 14%, primarily due to higher staff-related costs as well as increases in legal and professional fees. The current year financial results were also impacted by a $15.7 million impairment charge for our feature film, The Condemned. Excluding this impairment charge, EBITDA would have increased by 26%. Page 15 of our presentation contains our balance sheet, which remains strong. On December 31 we held $266 million in cash and short-term investments, with virtually no debt. Page 19 shows our free cash flow. During the quarter we generated $14.9 million of free cash flow, resulting in nearly $18 million of free cash flow for the full year. Our strong cash generation for the year reflects improved cash flow from our operations and lower spending on feature film production, partially offset by increased capital expenditures. Capital spending reached $18 million, primarily due to our investment in high definition broadcast equipment. Despite this investment, our free cash flow of $80 million was approximately three times the level of the prior year. That concludes this portion of our call, and I will now turn it back to Michael.
Michael Weitz: Thank you, Frank. Operator, we're ready now. Please open the line for questions.
Operator: Thank you. (Operator Instructions) Our first question will come from Rich Ingrassia with Roth Capital Partners. Please go ahead; your line is open. 
Richard Ingrassia - Roth Capital: Thanks. Good morning, everybody. 
Michael Sileck : Good morning.
Richard Ingrassia - Roth Capital: Obviously, the weak retail holiday had little to no impact, but you touched on the consumer spending point so maybe, Linda or Mike, if you could give us a little perspective, perhaps drawing on your experience with the company in '01, say, from 2001 to 2003, what expectations do you have going into what might be a light year for discretionary consumer spending?
Linda E. McMahon : We have weathered those storms before. Certainly, nothing makes our company, you know, recession proof, but what we have found as we've looked through our numbers and how we have performed in prior years, we did weather those storms well because, I think, of the diversity of our revenues across all of our platforms of live events, pay-per-view, consumer goods, et cetera. So we're not just so heavily tied to the retail marketplace. And I think also our international growth and the company's perspective on that will help us weather this storm very well. And so far we're strong in the mix.
Richard Ingrassia - Roth Capital: Okay. And could you say a little more about what CW is thinking by walking away from a renewal here?
Linda E. McMahon : You know, it's - I really don't know. We have had a really good relationship with CW and UPN. I really can't speak for them as to what their thinking was. I think they are gearing their programming towards a particular demographic, and so it was really a mutual decision. And we've been very pleased with the response that we have had. Once that announcement was made, we've had lots of contact and so we're in the throes of good negotiations, which we're very pleased at, at this point.
Richard Ingrassia - Roth Capital: But was CW maybe more sensitive to pricing given ratings and maybe expectations there for '08?
Linda E. McMahon : I can tell you they really didn't go into so much of reasoning. We did have - you know, we had negotiated when this deal went into place, you know, a particular option, and they elected not to pick up the option and did talk some about the economics of their entire network. So I would have to leave that up to them to respond to.
Richard Ingrassia - Roth Capital: Okay. Thank you.
Operator: Thank you. Our next question will come from Ali Mogharabi with B. Riley Company. Please go ahead.
Ali Mogharabi - B. Riley: Thanks. A quick question regarding the live events. What is the - can you give us a little bit more detail what's the reason behind the higher average ticket prices? Does a favorable exchange rate play any part in that? 
Michael Sileck: You know, a lot of the higher ticket prices, some of it was impacted internationally and the exchange rates were favorable from that standpoint. But also and probably even more impactful was our ability to sell our many of our events, domestic events, particularly in the December time period and around the holiday, the Christmas holiday. And as a result of that we were able to generate higher ticket prices. But overall demand has been very favorable for our live events, and I think that's reflected in the numbers.
Ali Mogharabi - B. Riley: Got you. So the exchange rate didn't have that much of an impact?
Michael Sileck: It had about a 10% or 15% impact.
Ali Mogharabi - B. Riley: Okay, not much. And then you finally saw some growth in Pay-Per-View. Do you see that continuing? I mean, have we seen a turnaround in this?
Michael Sileck: You know, it's - we like the trend thus far. We were not pleased with that business in the first half of the year. We did not - we weren't pleased with the trend. But as we've been discussing, we've really tried to focus our energies and make each one of those pay-per-view events very special, both from a creative standpoint and from a marketing standpoint. And I think, you know, the back half of the year and certainly in this fourth quarter - it appears as though we have turned that corner, so we are optimistic. And looking ahead into 2008, early results for The Rumble are good. It's still very preliminary at this point, but hopefully that trend will continue.
Ali Mogharabi - B. Riley: Yeah. Actually, I was out there. It was sold out, and the crowd was pretty enthusiastic. On the online advertising side, saw some weakness, as you said, due to lower unique visitors. Can you give us some more detail what you guys are doing to improve this, and also, I mean, looking at the overall market, there is uncertainty about the growth rate of the online ad market. Are you seeing any advertisers being more hesitant these days?
Michael Sileck: You know, it is a multi - it's a complex issue. On the one hand, from a traffic standpoint, we are trying to address that by evolving our content and enhancing the content. The nice thing about the web is it's very measurable, and you can tell on your site, you know, where the activity is and where people don't care as much about the content. So we really try to take that into account and adjust the content on an ongoing basis, which is what we're doing. And the early results from that are positive. And then the other thing is that you try to balance the user experience in terms of as they're looking at the content and balance that with monetization of that content, right? So you want to make as good of a viewing experience as possible for the consumer while at the same time getting paid from the advertiser. So it's a balance that we continue to work with and work on. In terms of the overall health of the online advertising market, I would say that indications are that it's probably not quite as strong as it had been in the past year, although those are - we only really look at it from our pool of advertisers, which is more narrow, frankly, than the overall universe for online advertising. So I think, though, from an overall standpoint that the traffic issues and in terms of the - improving and enhancing the content is really where we're focused. 
Ali Mogharabi - B. Riley: Got you. Thanks. Good quarter, guys.
Linda E. McMahon : Thank you.
Operator: Thank you. Our next question will come from Jamie Clement with Sidotti & Company. Please go ahead; your line is open.
James Clement - Sidotti & Company, LLC: Good morning.
Linda E. McMahon : Hi, Jamie.
Michael Sileck: Morning.
James Clement - Sidotti & Company, LLC: Mike, can you remind us of where we are on the high def infrastructure spend? Is that something that hit your Capex in a meaningful way in the fourth quarter? How much more of that should we see?
Michael Sileck: Yeah. The overall spend for the high def conversion is $20 million, and we incurred about $10 million of that in the fourth quarter, Jamie.
James Clement - Sidotti & Company, LLC: Okay.
Michael Sileck: So we have about another 10 to go here in 2008.
James Clement - Sidotti & Company, LLC: Okay. Linda, if I may ask, internationally you've always been able to get much higher ticket prices for your live events. You know, pay-per-view in certain areas where your product is available. I mean, it seems like the market isn't where the U.S. domestic market is there. Are there any signs that your customers abroad might soon be willing to pay a little bit more for the right to watch your pay-per-view shows at all?
Linda E. McMahon : Not - it's a good trench, but here's what happens, just as a reminder. Before pay-per-view technology was so well distributed, like say for instance in the U.K. where we have such a strong market, our pay-per-views were specials that were on the cable networks. And the distributor paid more to us to carry them, but the consumer did not spend any more to see our pay-per-view events. As pay-per-view technology then expanded and as those events morphed from being a special that was paid for by the distributor to being paid for by the consumer, there was a little education necessary in doing that as well as not charging as high a price in those markets as we're able to have domestically because it really was a transition. You know, they now had to pay for something that they had been getting for free. So I think what we're seeing now is more maturation in the marketplace and more of a willingness to spend a bit more, but it's still a transition period. 
James Clement - Sidotti & Company, LLC: Okay. 
Linda E. McMahon : For pay-per-view. But it's, you know, it's evolving more, you know, around the world. But it's still more of an education and transition period. 
James Clement - Sidotti & Company, LLC: Okay, fair enough. And Linda, last question, you all obviously generated a whole heck of a lot of free cash flow in 2007. You've got, obviously, a lot of cash and investments sitting on the balance sheet. With respect to a potential future dividend increase or share repurchases or anything like that, I mean, are you watching like the election? Are you watching the legislative environment before making a decision on that, or is this something that the Board would be willing to consider soon rather than later?
Linda E. McMahon : You know, each quarter when we have our Board meeting we discuss our dividend, and so I would assume that it will always be a topic for discussion. When we raised our dividend the last time, it was with the thought that we would grow into funding that dividend with our cash flow, and we're there. We think we've made good progress. We're doing what we wanted to do, and we actually did it a little earlier. So certainly, those options are always open for consideration and always discussed.
James Clement - Sidotti & Company, LLC: Okay, fair enough. Thank you very much for your time.
Linda E. McMahon : Thank you.
Operator: (Operator Instructions) Our next question will come from Alan Gould with Natexis. Please go ahead.
Alan Gould - Natexis Bleichroeder, Inc.: Thank you. I've got a few questions. First, I know your Raw [inaudible] fees are substantially higher than what you've been receiving for SmackDown. Do you anticipate in your new negotiation that you'll receive higher [inaudible] fees for SmackDown than you were receiving in the past from CW, and does it make a difference if you're on a broadcast versus a cable network?
Linda E. McMahon : Well, first of all, the SmackDown is on broadcast and Raw is on a cable network.
Alan Gould - Natexis Bleichroeder, Inc.: Right.
Linda E. McMahon : So, you know, we - there was clearly a difference in the two fees. I suspect - and certainly am hopeful and that is what we are negotiating towards - are higher fees for new carriage of the program. And early indications in the negotiations would, you know, would [tend] in that direction without my being - without my speaking too much this morning. So we're pleased about that. I think it depends on the broadcast network that you're on and the, you know, their rate per hour for broadcasting is what they'll pay. So we'll just have to see how that pans out, but we're very optimistic.
Alan Gould - Natexis Bleichroeder, Inc.: Okay. And your North American attendance, it had gone up every quarter for, it seems like, three years, was flat in the September quarter and then bounced back up nicely - 16% or so - this quarter. Should we extrapolate any trends from that - the popularity of the sport, the storyline, the competition versus mixed martial arts, anything?
Michael Sileck: Well, the one thing we would say - and we've been saying it consistently now for well over two years - is that the trend in the Live Event business is very good, as you point out. And also we think that that's a very good indication for the overall health of the brand. You know, as we've said, it's not inexpensive to go to our shows and to see our superstars in person, and particularly when you go to these shows you see a lot of families there who are taking their kids, which is really a neat experience. But it really does underscore, I think, the underlying strength of the brand. And then you see that as a base business and you look at the strength of our Licensing businesses, which I think furthers that, the direction of the business. So, you know, look at - every quarter, it seems like we get the question of, "Is this a trend? Is this going to continue?" And I will say that, you know, there's the strength of the brand that will continue, and then I also think we're getting smarter internally in terms of how we execute these live events. We're more selective in terms of where we play and how often we play. And I think all of that effort is also paying off as well. But I think it's a multi kind of pronged approach, and I think it's heading in the right direction.
Alan Gould - Natexis Bleichroeder, Inc.: Okay. And Frank made a comment that there was a write-off of some development costs in the Film business. Can you update us on your strategy in the feature film area?
Michael Sileck: Yeah, in terms of the strategy, as we've said, we want to have a multi kind of tiered approach, predominantly focusing on direct-to-video products and projects, and we are in the throes of a couple of those projects. And then also balance with a theatrical, of which we will begin principal photography of very soon. So we're trying to balance the projects. It is not assumed that - it is assumed that there will not be any releases in 2008 and that the work we're doing will all be released in 2009. And then the only other thing to point out is that in at least one of these projects we are doing a cofinancing deal with a studio, and I think that's just one more example of how we want to try to spread the risk and share the risk in these endeavors. Linda, anything else?
Linda E. McMahon : No. It was really good to I think point out about, you know, sharing the risk a bit. And I think that is something we continue to look at to do.
Alan Gould - Natexis Bleichroeder, Inc.: So, Mike, if the old ones were, say, roughly $20 million negatives, should I assume that you might have a $10 million exposure on a new one?
Michael Sileck: Well, the theatricals, again - and, you know, there's one that will be going into production. That will be in the $20 million range in terms of the negative costs.
Linda E. McMahon : And that's not a co-financed deal.
Michael Sileck: And that is not a co-financed deal. The direct-to-video projects, at least one of which is a co-financed deal, those are in the $4 to $5 million range in terms of production costs.
Alan Gould - Natexis Bleichroeder, Inc.: Okay. And any update on the JAKKS THQ case? 
Linda E. McMahon : Slowly, it's just moving slowly. Even though the federal case was dismissed in New York, we were not precluded from refiling in state court in Connecticut, which was the direction that we were taking anyway. And so it's slow. It's just slow. But, you know, the charges still stand. We still feel confident about the case that we had presented. That just is a long time coming. The wheels of justice have turned very slowly relative to this case.
Alan Gould - Natexis Bleichroeder, Inc.: Okay. And my last question: You covered your free cash flow - you covered the dividend in '07. It benefited from lower film production. In '08 it sounds like there'll be an extra $20 million of film production costs. I'm not sure what Capex is going to be in '08 versus '07, but it sounds like '08 might be a little bit short of covering the dividend. Is that a fair assumption?
Michael Sileck: That is potentially a fair assumption, that's correct.
Alan Gould - Natexis Bleichroeder, Inc.: Okay. Thank you very much.
Operator: (Operator Instructions) Meanwhile, we'll move to the site of Bobby Melnick with Terrier Partners. Please go ahead; your line is open.
Bobby Melnick - Terrier Partners: Could you discuss the viability of streaming SmackDown on WWE.com please?
Michael Sileck: Hello, Bobby, how are you? In terms of, you know, we look at all different platforms in terms of how best to distribute our content. As you know, we have been putting considerable resources behind the content that is showing up on WWE.com, and that will continue. I think at this point, though, in terms of SmackDown, I think our first look is to have that on a television platform for the wide distribution that that is able to generate. I do think over time it is not inconceivable that we could create a new piece of content, if you will, that could be exclusive to the web. That is not out of the realm at all. But I think currently, as we think about SmackDown, I think our first choice is to have that on a television platform.
Michael Weitz: Operator, are there any more questions?
Operator: At this time, we have no further questions.